Operator: Hello, and welcome to flatexDEGIRO Analyst Call Quarter Three 2024. My name is Alicia and I will be your coordinator for today's event. Please note this call is being recorded and for duration of the call, your lines will be on listen-only. However, you will have the opportunity to ask questions at the end of the call. [Operator Instructions] I will now hand you over to flatexDEGIRO. Thank you.
Achim Schreck: Good morning, everyone, and many thanks for dialing in. Welcome to our analyst call relating our nine months results, which we published yesterday evening post market close. My name is Achim Schreck, I'm heading the Investor Relations team here at flatexDEGIRO. And with me today, as usual, I have our CFO, Benon Janos, who in a moment will lead you through the presentation and the following Q&A. We also have with us Dr. Thomas Lindner, our Global Head of Finance; as well as my IR colleague, Laura Hecker. I'm also delighted to welcome on this call our CEO, Oliver Behrens, who joined us today for some opening remarks. As you know, Oliver has started at flatexDEGIRO just three weeks ago and as such I ask for your understanding that he will not yet take part in the Q&A today following the presentation. And without any further ado, I'm very pleased to hand over now to Oliver. Please go ahead. The floor is yours.
Oliver Behrens: Thank you very much, Achim, for the introduction. Good morning. My name is Oliver Behrens. I'm very happy to be part of the team. I'm in day 23, as Achim said. I have about 40 years of experience in the financial industry, lately as CEO of Morgan Stanley Europe SA. I'm really very much looking forward to sizing the significant opportunity in the brokerage market and the self-directed investors with a fresh entrepreneurial spirit. I'll keep my comments short, as I'm in day 23, as mentioned, and Q3 was Benon's responsibility as CFO ,as well as co-CEO during the period under review. My current priority in the first 100 days is to get a better view of flatexDEGIRO before making strategic remarks. What I will say is this, I'm really thrilled to be appointed as CEO of flatexDEGIRO. I think it's a wonderful company, a dynamic company with an incredible team. A lot of people I've already met in person. It's well positioned in the online brokerage market with a pan-European approach and the breadth and the depth of our product offering is fantastic, there are probably a few things to be added. And it's integrated along the process chain. But also with some not fully explored opportunities, which we will discuss during my first 100 days. And I'm happy to bring all my experience in banking and brokerage knowledge to the table to foster further growth and unlock value together with the team. The initial focus will be on new products, which we have already announced and Benon will also talk about in his speech, which is cryptocurrencies, i.e., direct trading rather than via ETNs. And personnel pension accounts I think will be very interesting because they are contemplated by the German government and this could increase the overall market for custody accounts and interested population for the German pension system, which could be comparable to 401(k) in the U.S. I think this will be -- we will be able to make a difference for our clients provided they will be introduced as a means of private retirement provisions and the current discussion is also to offer tax benefits for limited investment amounts. I think this provides a basis for more equity investments in the German market that could unlock further value for the market and potential growth for flatexDEGIRO. Financial year 2024 provides a strong basis to further develop flatexDEGIRO's strong operating performance in the first nine months and I think we are on the way to post record results for 2024. With this, I would like to close my short opening remarks and hand over to Benon for the Q3 presentation as well as for the following Q&A. I thank you for your understanding that I will not yet join the Q&A during this call, but I look really forward to working with all of you in the future. I guess the preliminary results for fiscal year 2024 in February 2025 will be the right opportunity to do so. Thank you very much. Over to you, Benon.
Benon Janos: Good morning, everyone, also from my side. And thanks a lot, Oliver, for your introductory remarks and for joining today's call. After only a couple of weeks, I can say it's really great to have you on board. It's an exciting time for flatexDEGIRO and I look forward to partnering with you as we navigate the opportunities ahead. Allow me a quick personal remark. When I joined the financial industry in 2001, Oliver was back then already a very successful and highly respected manager and banker. When I first heard he would be potentially joining as CEO, I was thrilled. After all those years, it is an honor to be able to now work together with Oliver. With that, let's start with the presentation and move to the highlights of the past quarter on Slide 3. We are very happy to have closed a successful third quarter as well as first nine months of this year. We were able to grow both top as well as bottom line during that period reaching new record results. Revenues for nine months increased by 22% year-on-year to EUR353 million while net income more than doubled compared to the previous year reaching EUR86 million and growing 111% year-over-year. This is driven by both commission and interest income growth. We are very confident about the final quarter of the year and that we will be able to achieve a record year in 2024. Therefore, we are upgrading our fiscal year 2024 revenue guidance to slightly above the originally provided upper end of our guidance, which was for up to 15% year-over-year, and we are reiterating our net income guidance of up to plus 50% year-on-year. I trust you have seen our ad hoc announcement and respective press release from last Friday afternoon that the mandate of BaFin's special commissioner at flatexDEGIRO Bank was terminated on September 30. This follows a successful elimination of the serious deficiencies identified in the 2022 special audit by flatexDEGIRO and a subsequent positive review by the special commissioner. We are thereby closing another regulatory chapter. First of all, I would like to take this opportunity to especially thank all employees who have made it possible to reach this important milestone for our company in such a relatively short time frame of under two years. Moreover, I would like to thank BaFin, Bundesbank and the special commissioner for the valuable cooperation and guidance throughout the process. Their input has been instrumental in helping us navigate the implementation of the regulatory requirement. As we close this chapter, this allows us to again increase our focus on our customers and important growth projects for the future such as for example crypto trading, which we will launch in Germany still this year. As a first step, we will make crypto trading available for our German clients at the flatex and ViTrade brands. However, we do plan to expand our offering to other geographies and will also introduce cryptocurrency trading at DEGIRO during the course of next year. For now, we will make some 20 coins available for trading based on market cap and liquidity including of course Bitcoin and Ethereum as the biggest coins. We will offer crypto trading in cooperation with different partners. As we are still in the process, we are not able to share specific financial expectations yet, but you can be certain we will educate the market accordingly when we have more visibility. Crypto will be a valuable addition to our already attractive offering, which has again received public appreciation in key markets. DEGIRO has been voted Broker of the Year in the Netherlands and Best Online Broker in France by the French newspaper Le Figaro. In Germany, retail investors voted flatex to be the Best Online Broker and the Best Fund and ETF Broker on two different brokerage sites. These are just examples, but they nicely show that we can build on these successes going forward with an even more comprehensive product offering in the future. Moreover, we have started our share buyback program on October 1 this year delivering on our capital allocation strategy we have outlined last year. The share buyback program encompasses a maximum value of up to EUR50 million and will end no later than May 7, 2025. Based on yesterday's figures, we have already bought back more than 0.5 million shares since the start of the program for a total consideration of approximately EUR7 million. This equates to roughly 14% of the maximum volume of the program. Before I continue with our commercial performance, let me just briefly mention one additional rather organizational item we have on our agenda for 2025. Over the past year, flatexDEGIRO has grown from a German niche player into a truly European leader in online brokerage. To reflect this important evolution, we have decided to also adapt our legal entity form from a German Aktiengesellschaft to a Societas Europaea or European SE, underlining our true European character. We expect the change to an SE to become effective at some point in the second half of 2025. As next steps, we will now start our internal engagement with employee representatives before also asking our shareholders for approval at our next Annual General Meeting in June 2025. As I said, this is a small evolution that better reflects our European DNA and gives us flexibility in the future. It will not affect our geographical footprint, our locations, our legal headquarters in Germany and our listing at the Frankfurt Stock Exchange. Now on to our commercial performance in the third quarter of 2024. Customer additions amounted to approximately 92,000, an increase of 19% year-on-year. We were even able to increase customer additions by 9% sequentially. Assets under custody reached a new record with more than EUR64 billion, strongly growing 37% year-on-year and 6% quarter-on-quarter. We will dive a bit deeper here in a second on the next slide. Moreover, we settled 14.8 million transactions, growing 7% year-on-year, but being also down 3% sequentially following the general market trend. September especially was a relatively weak month across the industry. We have seen similar developments for our peers, but also when looking at numbers for the large European and German retail trading venues. As already mentioned previously, our assets under custody reached a new record with EUR64.6 billion. We split this as usual into two main categories, securities under custody of EUR60.9 billion and cash under custody of EUR3.7 billion as of September 2024. Customer cash deposits grew further in the past quarter. This is good news especially as we continue to not pay any interest on cash held on our platforms. This testifies that we are able to tap the right customer segment in the market; customers that come to us primarily for trading, but not for saving. Our securities under custody also grew steadily by around 6% sequentially and nearly 40% year-over-year. This is driven by both higher index levels and also new investments done by our customers. Where is this buying power for new investments coming from? We've simplified this slide versus previous quarters. Here you can see now our net cash inflows for the first, second and third quarter as well as accumulated for nine months in 2024 and 2023. I really like this slide as it shows that our clients continue to constantly deploy cash into our platform. We saw positive net cash inflows of more than EUR500 million per month on average in the first nine months of 2024. Looking at the last nine months, net cash flows amounted to EUR5 billion growing strongly with 27% year-on-year. Our customers invested EUR5.1 billion over the last nine months so mathematically, that's 102% of our net cash inflow. The delta is more than covered by an increase in the margin loan book of EUR0.2 billion. Hence, overall cash levels slightly increased by EUR0.1 billion to around EUR3.7 billion over the nine month period of 2024. Now as usual, we portray our revenue split in the past quarter. In the third quarter, revenues grew 10% year-over-year. Commission income increased by 9% year-on-year, which is attributable to a continuously growing customer base and slightly higher commissions per transaction although the average trading activity of customers declined slightly. Interest income grew by 15% year-on-year. This was driven by growing average margin loan book and higher amounts of cash under custody. Average Q3 interest rates remained broadly stable compared to the previous year's period. When comparing interest income to the second quarter of 2024, please keep in mind that in Q2 we still had around EUR2 million of interest income booked from a legacy loan engagement. Already at the time, we subtracted it further down the P&L so that it effectively wasn't booked as a profit for the year. So this explains close to EUR2 million of the delta in the interest income from Q2 to Q3 without affecting our earnings in any way. On to commissions per transaction. We were able to generate an average commission of EUR4.32 per transaction in the third quarter of 2024 with a 1% increase from EUR4.26 in the third quarter of 2023. Sequentially, the commission per transaction trend was stable. We explained during our Q1 call that we expected the commission per trade to come down in the following quarters of the year. Q1 commissions per trade are typically meaningful above average due to seasonal effects. For example, the so-called connectivity fees are typically charged in January or February. However, it's great to see that the commission per transaction remained basically at the same level as in the second quarter of 2024. Moving to Slide 9. We have portrayed our different cost items and the development over the past quarters. Let me dive a bit deeper into the different drivers for each cost item. Current personnel expenses increased by 12% year-on-year to EUR24.1 million (ph). Salary increases as well as hiring of additional employees over the course of 2023 in the context of remedying regulatory findings led to this increase in personnel expenses. Personnel expenses for long-term variable compensation remained basically stable over the past few quarters. For the first time, the third quarter of 2024 also includes part of our stock option program, which we started in the last quarter following the approval at our AGM in June 2024. Marketing and advertising expenses fell quarter-over-quarter to EUR6.2 million in 2024. The average cost for customer acquisitions were kept at a comparatively low level in both the third quarter with around EUR67 and around EUR81 for the entire nine month period. Other administrative expenses increased to EUR17.7 million in Q3 compared to EUR12 million in the third quarter of 2023. This increase is mainly attributable to higher IT costs as well as higher professional services, legal and consulting costs. They were partly related to projects in connection with regulatory requirements and helped us to successfully close the last severe BaFin findings, which subsequently led to the termination of the special commissioner mandate at the end of September. So as already mentioned, this chapter is closed for good after less than two years. To a lesser extent, to expenses for the preparation of new product launches such as the launch of cryptocurrency trading planned for the fourth quarter of 2024. For comparison reasons, let me add one thing. Some cost items that in 2023 were recognized in the cost of goods sold line or COGS were reclassified from COGS to other administrative expenses. These amounted to EUR2.1 million in the first nine months of 2023 and to EUR0.4 million in the third quarter of 2023. Now let me be quite frank here. We are not happy with the admin cost levels in the past two quarters. The level of admin expenses we had in Q2 or Q3 is not our future run rate. We will see significant reductions in the coming quarters with a focus on lower professional services, lower legal and lower consultancy fees with the goal to increase operating leverage. Moving on to our profitability. As we have just discussed our cost base in greater depth, you can see that the year-on-year cost increase in Q3 has been more than compensated by our top line growth with EBITDA up 14% and net income up 21%. Still comparing to the second quarter of this year, the lower level of revenues and the slight cost increase had led to a sequential decline in profitability. Now let me move on to the next slide where we will go through our nine months results in greater depth. Revenues in the nine months of 2024 increased by 22% year-over-year to EUR353 million. Commission income for nine months amounted to EUR205 million corresponding to an average of EUR4.44 of commission per transaction. Paired with an increase in the number of settled transactions based on ongoing customer growth, the increase in commission per transaction was the main driver of the 14% growth in commission income recorded in the nine months of 2024 compared to the same period in 2023. Interest income in the first nine months of 2024 amounted to EUR136 million, an increase of nearly 40% year-on-year. The increase results from increased interest rates for margin loans at flatex and DEGIRO as well as higher average amounts of customer cash under custody and an increase in the margin loan. All in, EBITDA in the first nine months reached a new record of EUR152 million increasing by 70% plus year-over-year. Net income for the nine month period of 2024 amounted to EUR86 million, more than doubling compared to the first nine months of 2023. The very high scalability of our business model is visible in the strong margin increase. We grew EBITDA margins by 41% while net income margins even soared by 74%. On the back of this, we are pleased to upgrade our revenue guidance for the full year 2024 to a bit above 15%. As a reminder, we previously expected revenues to reach the upper end of 5% to 15%. We are reiterating our net income guidance to reach the upper end of 25% to 50% growth year-on-year. Staying somewhat conservative on the guidance front has served us well over the previous quarters and we would like to keep it that way. With that, we would like to conclude our financial presentation and it is my pleasure to hand back to Achim.
Achim Schreck: Thank you, Benon, for running us through the financials of third quarter and the nine months and we are now happy to take your questions.
Operator: [Operator Instructions] We'll take now the first question from Marius Fuhrberg from Warburg Research. Your line is open now. Thank you.
Marius Fuhrberg: Hi. Thanks for taking my questions. Three questions, if I may. First of all, you mentioned that you're not happy with the admin expenses in Q2 and Q3 and that you want to lower these expenses. Can you quantify that a little bit further? So what should be a running rate of admin expenses that we should expect going forward? Second question with regards to the special auditor or the special commissioner. Should we expect you to return to a normal supervisory process for BaFin with the termination of the mandate or is there any like special audit still open where we should expect the results from BaFin? And the last one with regards to the declining interest rates from ECB and your exposure to that. I would personally assume that we will see a little bit decline in net interest income, which then should be replaced by commission income. But my final question then is if we take, let's say, EUR20 million of interest income and replace it with EUR20 million of commission income, what would that or how would that affect the EBITDA margin or EBITDA in general?
Benon Janos: Thank you very much, Marius. So to your first question, the admin expenses line is one that we will be very carefully managing over the next quarters and I think at this stage, I would feel comfortable to go for a run rate of EUR50 million or a bit above for next year as a number, which would be meaningfully below what we had in 2024. On the special auditor, this was a very, very important key leg that we achieved. And to answer your question whether we're back to 100% normal supervisory process, I would say not quite. It's almost normal course of business. However, we still have to close some of the less serious findings, which we will do over the course of the next quarters. But we are well on track to achieve that status at some point in the future and we are quite grateful that we are able to already now shift our focus on the commercial side of the equation without neglecting the remaining regulatory things that we have on our table. On the declining net interest income side, yeah, your thoughts are of course spot on. We benefited quite a bit from the interest levels over the past quarters and indeed, we plan to replace that with the introduction of new products. I mentioned one of them with the crypto offering, potentially some others which we will share more information at some point in the near future and also hopefully with slightly higher commission/number of trades in a lower interest rate environment. The general margin on the net interest income position is higher than on the commission per trade. So you basically have to look at the cost of goods sold line and that number is probably the one that has to be accounted for when looking at the EBITDA number with those. But we will give clearly a more detailed outlook on all that when we come out with our preliminary figures for fiscal year 2024 at some point in most likely February of 2025.
Marius Fuhrberg: Thank you very much.
Operator: We'll take now the next question from Christoph Greulich from Berenberg. Your line is open now.
Christoph Greulich: Yeah. Good morning and thank you very much for taking my questions. Yeah. Three from my side, please. I would take them one by one. Just starting with a quick follow-up on the other admin costs. So you mentioned the expectation for about EUR50 million in '25. So that implies per quarter on average around EUR12.5 million. Do you think you're already going to get there now in Q4 or is that more of a gradual process to get those costs down?
Benon Janos: So I think it would be prudent to rather focus on 2025 right now. We expect a decline in the fourth quarter. And when I mentioned the EUR50 million, I said EUR50 million plus so maybe a notch above, but that's our clear goal and mission to accomplish that. In Q4 I expect the number to be meaningfully below what we had in the second or third quarter.
Christoph Greulich: Okay. No. That's very helpful. Then just a quick one on the trading activity. So you also flagged it during your presentation that September was quite weak across the industry. Can you shed any light on what you've seen so far in October? Has this trend continued or has there been some more positive signals already?
Benon Janos: Yes, I can share more information. In fact the trend has not continued thankfully. September seems to be the low point so far. October has been meaningfully better and healthier with nicer trading activity.
Christoph Greulich: Okay. And then just on the crypto trading. I heard your remarks that you're still finalizing the process here. But can you tell us a bit about maybe how this business model will work in terms of is it going to be a white label solution similar as you have it with the robo advisory? And then also just kind of qualitatively speaking, what will be the impact on your commission per trade? Is that something that will be accretive, it will be dilutive? Any details would be appreciated.
Benon Janos: I can share some first thoughts on that. We in general consider the crypto offering to be of much more importance than the robo advisory business, which we have only in a small setup at the flatex brand. The crypto offering will be expanded to all platforms in our ecosystem and we merely start with Germany due to some available licenses. In effect, there is a big change in the markets in crypto assets regulation in the crypto space which we want to benefit from. But in doing so, we need a few more months to be able to introduce the product on the DEGIRO side. In terms of profitability, we try or we currently plan to go out with a product which has a competitive edge to many other platforms out there, but still leaving enough room on the table for us to have a meaningful measurable impact. But for the real numbers, let's wait until we have a bit more clarity on that. It would be a bit premature to share any potential details from our plan.
Achim Schreck: And Christoph, Achim here, if I just may add. If you were referring to the white label solution in regards to doing it via partners, yes, that's our idea with the crypto offering as well.
Christoph Greulich: Okay. And then maybe just quickly following up on that. On the marketing side, will we see impact from that new product launch in the sense that you will have some extra marketing campaigns and extra marketing spending?
Benon Janos: Yes. We will, but it's already in the plan and in the numbers. So the marketing expenses will be in the fourth quarter somewhere between what we've seen in the first quarter and then the second and third quarter. So it will be somewhere in between probably closer to the Q2, Q3 numbers.
Christoph Greulich: Okay. Well, that’s all from my side. Thank you very much.
Benon Janos: Thank you, Christoph.
Operator: We'll take now our next question from Simon Keller from Hauck Aufhauser. Your line is open now.
Simon Keller: Hey, good morning. Thanks for taking my questions. I was wondering, whether you have any plan to change pricing either on the margin loan book or on the commissions per transaction side looking into next year? And secondly, also on marketing, can you share some color on how we should think about next year, whether there will be or whether you currently assume some growth in marketing expenses? Yes, that would be helpful. Thank you.
Benon Janos: Those are questions that we are currently discussing internally and we’ll be discussing with our new CEO who has been on the job for 23 days as he alluded to. So we will actually go over details on that over the next weeks and we’ll then come up with an answer. I think at this stage, I would not feel comfortable to preempt what we will be discussing. The decisions have simply not been done yet.
Simon Keller: All right.
Operator: We'll take now the next question from Ian White from Autonomous Research. Your line is open now.
Ian White: Hi, there. Thaks for taking my questions. Just a couple of follow-ups from me, please. Firstly, can you just say a bit more specifically about the work that's underway regarding the offering of pension accounts in Germany? Is there any real complexity to the development work here or any particular third-party dependencies and when do you expect to have a product ready to go live, please? Those would be interesting details. That's question one. And secondly, just thinking about customer acquisition, it seems like it's getting a bit easier for you to onboard customers than it was last year. How are you thinking about the possibility over the next six to 12 months, say, to invest more back into the marketing again to reaccelerate the growth? What's the strategic thinking around that, please? Thanks.
Benon Janos: Thank you, Ian. Your first question on the pension accounts. The draft legislative paper has been issued like three or four weeks ago. So what we have today is a draft paper. There is not a formal decision yet done by the German government. We studied the paper, we went through it and we think that out of the potential plans, it gives us a pretty good positioning to participate from that. The complexity is moderate. We don't think it's overly complex and we at this point do not think we are dependent on a third party to launch the product. But the details are still in the preparation phase with the government and we will have to see what the plan is. As of today in the draft paper, the start of this system was or is currently planned for January 1, 2026. So it's not a '25 topic. On the customer acquisition cost, yes, indeed, it is a bit easier to acquire customers or to put it mathematically, you get a bit more bang for the buck when acquiring customers. That's certainly the case. But apart from pure customer growth, what really is a topic of discussions we're having with the Management Board is trading activity. And having our platform attractive enough for clients who then come on to trade. In the end, we profit from trades not from the pure client number. So while we appreciate the client inflow coming in, maybe a bit more than in the past, we will be thinking about focusing a bit more on clients who trade a bit more compared to the average.
Ian White: Got it. Thanks very much.
Operator: Let's go one more question from Christoph Greulich from Berenberg. Your line is open now.
Christoph Greulich: Yeah. Thanks. Just another quick one. You mentioned the change in the legal structure from AG to SE. Could you just tell me what are the main benefits stemming from the change?
Benon Janos: Yeah. The real reason is flexibility. It’s a modern legal system, which other companies have adapted and it gives us flexibility to take decisions in the future which we do not plan on taking today. But there are different setups in the Supervisory Board, there are two different ways you could set up the government structure. There is the flexibility to do other things. There is flexibility in working closer in the dialog with the workers’ council. So it’s a step that many others have taken and we simply want to do that to be prepared should we ever come into the conclusion to take additional steps.
Christoph Greulich: Yeah. Understood. Thank you.
Operator: We currently have no more questions coming through. [Operator Instructions] It seems we don't have any further questions. So I will hand you back to our host to conclude today's conference. Thank you.
Achim Schreck: Thank you very much, and thank you all for your questions, for your participation in the call today. As always, if you have any follow-up questions, Laura and myself will be happy to answer bilaterally after the call. We’re very much looking forward to seeing you in the next couple of weeks when we’re also doing road shows in London and the U.S. And again thank you for your participation today. Have a good day.
Operator: Thank you for joining today's call. You may now disconnect.